Björn Scheib: Welcome to our Analyst and Investors Conference 2025. My name is Björn Scheib, and I'm the Head of Investor Relations at Porsche AG. With me are Oliver Blume, Chairman of the Executive Board; and Jochen Breckner, Member of the Executive Board for Finance and IT. Both gentlemen will give you an update on our '24 results, our strategy and the outlook in 2025. However, before we begin, let me remind you that any forward-looking statements to be made during this interstatement are subject to the risks and uncertainties mentioned in the safe harbor statement included in the partial materials online. This call will also be governed by this language. And with that, I would like now hand over to Oli.
Oliver Blume: Yes. Thank you very much, Björn. A warm welcome from my side as well, and thank you for joining our analyst and investors conference. Jochen and I will give you a summary of the 2024 results, our strategy and our future potential based on our previous released disclosure documents. As you have seen, we have initiated our long in advanced plant generation change in the Board of Management. Jochen Breckner has taken over the finance and IT department. Matthias Becker, the Sales and Marketing Department. Generation change will be continued. Jochen is here with us today. He will outline our numbers and outlook in detail. Later, we will answer your questions together. 2024 was characterized by the biggest product offensive ever at Porsche. We completely renewed four of six model series and launched them in the market. If we include the Cayenne at the end of 2023, there were even 5. We currently have what is probably the most attractive and youngest product portfolio that Porsche has ever had. We are receiving a feedback for the new products from our customers and from the media all over the world. Porsche at its best. At the same time, Porsche showed strong pricing with robust deliveries in financial year 2024. We had a sales record in four out of five regions of the world. New records were also set with the 911 and Cayenne. Overall, there was also a strong ASP development from 112,000 to 117,000 on vehicle sales. In addition, Porsche counteracted the decline in deliveries in China with an increased focus on sales in the other regions. As a result, our global sales footprint has become even more balanced and more resilient. Despite the high level of vision under which Porsche had been operating, we were able to achieve our guidance and post solid key financial figures in 2024. Net cash flow remained at a strong level of the record year '23 with a cash conversion over 70%, which provided us with the foundation to keep the dividend at EUR2.31. But of course, in the long term, we at Porsche are pursuing higher ambitions. Let's look ahead to the current and upcoming years. In a generally volatile political and economic environment, we continue to face three major challenges. First, the structural market change in China with consequences for sales of our vehicles from today's perspective in the long term. Second, the slower ramp-up of electromobility with a need for action in our product strategy. And third, the 10 situation in the supply chain with consequences for the cost ability of our products, at the same time, we at Porsche are building on a solid foundation on our strong products and then most completely renewed portfolio on a valuable brand with global appeal on a loyal customer base around the globe and on the financial robustness that we have built up over the years. We are using this to invest resolutely in our future. In doing so, we are relying on our proven and successful Porsche strategy to adapt it to the changed framework conditions, we have developed it extensively over the past year. After all, only a strategy that is regularly and pragmatically adapted will be successful in the long term. This allows us to respond to the situation in the market with the greatest possible flexibility. In particular, we have adjusted our product strategy in all segments. Porsche also set standards in electromobility at an early stage with the design as well as the characteristics. After a strong start-up phase, it has now become clear. We were a step ahead of market developments. The global rapid above all sustainable ramp-up has not yet materialized. Although the ramp-up of electromobility has slowed down in some regions, we continue to see electromobility as the technology of the future. And we want to make it a success in the long term. Our product strategy would still allow for the goal of delivering more than 80% fully electric sports cars by 2030. In view of market developments, however, this is no longer realistic. Our ramp-up will therefore adapt to the market developments. As currently anticipate a much longer transition phase, we have taken this as an opportunity to revise our product planning in specific areas. As before, our product strategy includes a balanced range of combustion engines, hybrids and electric sports cars. We are expanding and extending our portfolio of hybrid and combustion engine models. At the same time, we are strengthening our brand core with emotional combustion engine vehicles. Alongside additional product approaches in the core segments of Tudor sports cars we will be expanding the 911 range with a model that will raise the bar even higher. Our friends will be delighted regardless of the type of drive, a Porsche will fulfill our customers' dreams and wishes no matter how individual they may be. Porsche already offers almost infinite possibilities for initialization. Our range extends from the selection of individual interior and exterior options to completely customized one-offs. In line with our customers' wishes, we will be significantly expanding our capacities in the coming years. This applies to both the exclusive manufacturer, options and our Sonderwunsch program. With this, let me now hand over to Jochen.
Jochen Breckner: Oliver, thank you very much. As Oliver mentioned, our largest model offensive in the company's history strongly influenced the business performance of the Porsche AG Group. These vehicle ramp-ups had a significant impact on sales, inventories, depreciation and amortization as well as research and development costs and CapEx. Despite a continuously challenging macro environment, we had old results benefiting from our strong pricing mix and continued strong customer demand. Stringent with our strategy, we kept investing in product, innovation, software and brand. Still, the company was able to perform strongly under these conditions. We achieved our return on sales guidance as well as a cash conversion of more than 70%. Based on our strong cash flow in 2024 and a very healthy balance sheet, the Executive Board and the Supervisory Board will propose a dividend payment of EUR2.1 billion to the past financial year to the Annual General Meeting. That's EUR2.30 per order share and EUR 2.31 per preference share. Let us now move to the outlook for 2025. Forecast for the financial year '25 is based on today's favorable conditions in terms of global conflicts and tensions as well as fragile supply chains. In addition, we do not expect demand in China to recover in the foreseeable future, and the transformation towards electric mobility remains behind previous expectations. Based on our brand principles, we will also continue to align demand and supply according to our value-over-volume approach. Overall, the Porsche AG Group expects vehicle sales to be below 2024. Against the backdrop of the change and challenging market environment, extensive measures have been initiated to strengthen the company's financial resilience and profitability also in the short and medium term. These measures include the expansion of the product portfolio to include additional models with combustion engines or plug-in hybrids. The expansion of the Sonderwunsch program and exclusive manufacturer and adjustments of the company organization. As you know from our to announcement, total impact of these combined measures on the operating profit and the automotive net cash flow is expected to be approximately EUR800 million this year. Around EUR300 million of this burden are related to product exclusive and software. Around EUR200 million are attributable to battery-related activities. These mainly result from the first-time consolidation of Porsche businesses around batteries, namely the Salesforce Group and V4Smart. The remaining EUR300 million are related to the organizational ranges, which also cover the announced workforce measures. In the forecast for the financial year 2025, it is also assumed that the situation in the supply chain will remain challenging and that additional cost in the supply area must be expected. This is due to individual delivery delays fluctuations in the number of units and possible insolvencies. In addition, we expect significantly higher expensed R&D resulting from a higher R&D budget, a lower capitalization rate and higher D&A on capitalized R&D due to our product and strategic measures. Considering the above-mentioned factors, Porsche forecast for the financial year 2025 group sales revenues of EUR39 billion to EUR 40 billion , group return on sales between 10% and 12% and an automotive net cash flow margin between 7% and 9%. This guidance does not include any potential tariff scenario. Our expected strong cash conversion and future cash flow should provide us with a strong foundation to partly fund our pension deficit in the midterm. During this transition period and thereafter, finance of Porsche will play a crucial role as a co-pilot in driving strategic success by providing data-driven insights, ensuring financial discipline and enabling informed decision-making. Our strategy is also closely linked to our Road to 20 program, which is to be understood as the foundation of our so-called strategy house and applies across the board to all its elements. The Road to 20 is our continued strategic program targeting all aspects of the company that will enable the general strategic long-term ambition level of an operating return on sales of more than 20%. To this end, we have defined specific targets in six fields of action, which include fixed costs, cost of goods sold for series cars and cars under development as well as sales levers, including pricing. And in 2025, our activities will be intensified. Based on our expected benefits from our Road to 20 program and the outline expectations for the Chinese market the required higher flexibility for the expected transition period in markets and expected continued fragile supply chains, we target a group return on sales of 15% to 17% in the midterm. With that, I hand over again to Oliver. Thank you very much.
Oliver Blume: Yes. Thank you, Jochen. Let's summarize everything briefly and concisely. Porsche achieved a solid result in 2024 in a challenging environment, EUR5.6 billion operating profit, 14.1% return. Net cash flow almost at the level of record year 2023. The dividend proposal of EUR2.31 also at the level of 2023. We have achieved record sales in four of five world regions and renewed five of six our model series. The electrification rate was a strong 27% with a clear upward trend. The 2024 [indiscernible] season was one of the strongest ever in the history of Porsche. We have adapted and further developed our corporate and product strategy to the changed environment and made 2 new appointments to the Executive Board. In the medium term, we are aiming for a return of 15% to 17%. And in the long term, we are sticking to our general ambition of aiming for a group operating return on sales of more than 20%. And now Jochen and I look forward to your questions. Thank you very much.
A - Björn Scheib: So, gentlemen, thank you very much. We will now begin with the Q&A session. [Operator Instructions] Now we get started with the first question. And if I can take a look at the screen, then we start with Tim of Deutsche who will be followed by George from Goldmans.
Tim Rokossa: I have two questions, please. First of all, I think – Oli, Can you walk us through the midterm guide, specifically how you get there midterm in this industry is usually three to five years? Is there any chance you can get back to this corridor before that? And what needs to happen for you to get there? Does China need to recover? Can you do all of this by yourself? And then secondly, Oli, I guess is to you. Can we talk about the strategic plan here and the magnitude? How significant is this? Will Porsche be materially smaller than even the numbers that we speak about in five years plus from now? Will you sell significantly different models, much more expensive cars? What's the end goal for this business? I assume you're trying to navigate this in a very different way compared to what you have done over the last 12 years.
Jochen Breckner: Okay. Tim, thank you very much. So, as you suggested, I will take the first question. On, say, the bridge of the walk between 2025 and our midterm ambition that we communicated. So, looking at 2025, this is a year of recalibration and refocusing the company, adopting the strategy towards the new trends that we see in new market situations in the market. So, 10% to 12% is what we see in 2025, and that include, as you know special items that we need to invest into or that we need to expense to initiate this change and make the company robust and resilient for the future. Coming from that point, looking at the midterm orientation, we reduced that by 200 basis points from 17% to 19% to 15% to 17%, and we did so because we really looked into our strategic planning and all the market trends that we see that are ongoing these days and also as we expect in the future, namely pressure in China, which won't recover to historic volume levels and market profitability levels; and second, a slower bet transformation. And therefore, we assume these headwinds and therefore lowered our ambitious level to the 17%. But having said that, being a motor source company, I would say, with these genes in our blood, we are not waiting that this just happened. So, as we already also outlined, we refocused our profitability program, our Road to 20 program. And with that, we are really focusing on cost work fixed costs under scrutiny as well as the production and material costs for both serial cars and cars that are under development, so that we have an uplift in margin levels in the future so that we can finally get there. On top of that, we also see some pressure from the supply chains, which from our expectations won't change in the short term. And therefore, to sum it up, these are the effects that we see between 2025 and 20 something, let's say, that way, the midterm expectations and how we want to get back on that ambitious profitability level.
Oliver Blume: Okay. I will take over the second part of your question, Tim. Hello again. And without a doubt, today's environment has changed rapidly. And in a short time, Porsche is affected, especially gross of the market conditions in China, the slower ramp-up of electromobility and the consequences in our supply chain, as Jochen has mentioned. And easily calculated without these circumstances, the last year would have been maybe once again, a record year, but the situation is like it is. and we had to review our strategy and to adapt it. And that's what we will do. To your question, how possible in five years, we will continue to review. We don't know what the world brings and our strategy is only as good as we are able to adapt it, and this is continuously reviewing it. I see at the end of the decade, a very robust and flexible product portfolio being prepared for the different speed of transformation in the different regions of the world. And there, the heavy investments we are doing right now are helping for doing so. So especially in the segments we are going for a hedging in between the three drivetrain alternatives, combustion engine hybrids and fully electric cars. I expect that our activities on the Road to 20 will pay off. We will see the results as Jochen has mentioned, and we will continue very strictly with our guidance value over volume. And we don't talk about a concrete volume. We will make a adoption of our company structure to 150,000. This does not mean that this is our volume target. I expect more a volume around 300,000, but always well balanced in between the value drivers. I expect an even much better balanced world because of the strong power we can see in the emerging markets. We're still having potential. And I see Porsche even more better positioned in terms of our core products in the 911. There's a lot of ideas. We have put into now in our planning round. And one of these products is especially a 911 model, where we will move our potential for the performance of these cars to a complete different level where our customers will be excited. And then coming to your question, the very expensive cost, especially on this car, we will leveraged quite well volume and watch pricing we will take to the market. And then as you know, sometimes Porsche has brought a super sport car like the 918 to the market. And there's still the intention to think about. We are also in very positive concept discussions, and that might be also an opportunity for the future. So I think all decisions already taken strategically going to ramp up this year is crucial for bringing everything to life and then ramping up from '26 onwards, but continuing reviewing our strategy. I think that's very important, especially in this dynamic times.
Björn Scheib: Very good. So, the next in the row would be George of Goldman. And thereafter, we have Jose of JPMorgan.
George Galliers: Oli, I wanted to start with the new products which you mentioned in the presentation deck and the ability of product expansion and halo cars. I think in your preprepared remarks, you did talk about the potential for a new SUV and you just also mentioned a potential successor to -- in the hypercar space. Are the product plans for the next five years and these new products now concerned? And are you thinking about new products that have not been discussed with investors or are the new products that have been referenced today, the evolution of one and also the mission and then perhaps related to new products, I think when you look at Porsche, the strongest DNA, the core competency and most pricing power exists in your sports car range. So are you considering an upward extension of the sports car range above and beyond the new 911 that you mentioned again earlier this morning. The second question I had was with respect to tariffs. In the event of U.S. Paris, what is your first course of action or strategy? Is it to increase prices and potentially offer some incremental content to the customer. But obviously, that could come with a big cost of volume or would you look to absorb a substantial portion of the tariffs? Is there also any scope for some kind of CKD operation in Chattanooga? If you could give us some insights here that would be very helpful and maybe it differs by product line.
Oliver Blume: Yes. George, let me start with your first question, and then I would like to ask Jochen to come to the second part of your question. In terms of product strategy, and maybe I could repeat quickly what is our thinking there. We focused first on our combustion engines and hybrids with two fields, one field are our core products. And that's what you mentioned, especially based there we see we have the biggest potential and the highest margins. And so, a big part of our investments will go to the 911. I mentioned the Heritage versions we will continue to do 70s then 80s. Then we think about also to continue with the Taycan idea. We have further ideas with the GD3. And then the product I mentioned, which will move the borders for the 911 also bringing the 911 to a higher pricing level. And many more ideas in terms of internalization, exclusive manufacturer and [indiscernible] which is included in our planning. Then we focus on hedging to invest in all 3 drivetrains in one segment, especially for the Cayenne and for the Panamera. And we are considering an additional SUV differentiated from the Macan with combustion engine and hybrid. And this one, we have already included also in our planning which puts pressure, especially in this year on the margin. There is one background on this, and the concepts are very promising. And then we are considering and thinking when would be the right timing also for the next hypercars isn't decided yet the timing, but we are intending to do so because that's Porsche. And then on the electric cars, of course, now activating the market. I have the opinion that the [ Taycan ], for example, a new one having solved also quality problems and so on is the best electric car of the world. And the new electric [ Macan ] is well received, but we need to bring the customers to the car to drive them to feel the potential and then further invest in electromobility. The new electric Cayenne will come. I tested 2 days ago. I'm very excited then modeled in the 718 segment and more to come also the K1 where we have to consider one will be the right timing in relationship to all the other decisions we have taken. And now we feel a very complete product strategy, very exciting for our customers and even more strengthening our sports car segment to the sports car segment with 911 and then maybe, Jochen, you come to the tariffs.
Jochen Breckner: Yes. I do, George, thanks for that question. And tariffs, indeed, are something that gives us, to some extent, sleepless nights. And why is that? Because also we might sound like a broken record here. We really support free and fair trades because I'm really convinced that this is the basis for wealth and therefore, also social security in the world that we have achieved over the last year. So therefore, we, as Porsche strongly supporting the discussions that are ongoing find good solutions in terms of tariffs for the U.S. and also the European Union, but also looking at China. Having said that, of course, a tariff scenario is something that is possible. We've mentioned earlier that in our guidance for 2025, but also in terms of our ambitious -- ambition level for the midterm and the long term. We have not included additional tariff scenario. So, if that would come into place, that would give us definitely additional headwinds. Now your question was, what would we do about it? And I would answer it that way. We have a very, very strong brand, a great customer base, a loyal customer base and great product. So, in the first place, we would look into additional pricing and we usually do that in a differentiated way. As you can imagine, with the 911, there might be more potential than with the B SUV car, which is more say, a normal common utility car for a family. So, we would do that in a differentiated way, but try to cover margin pressure also on the price side. And of course, if these things happen, as a total effect, there would be pressure on our bottom line margin. To counteract these things, we would even have to focus more on fixed cost material costs and all the other items we have in our P&L to counteract such a scenario. And maybe one -- sorry, I missed one thing. You were asking about production, local production, CKD. That's something that we excluded so far based on our brand principles with the -- our legacy and heritage here in Sonderwunsch. We believe that being an export-oriented brand is a basis for our luxury business model. And then it really depends on how high tariffs might be. Of course, the higher -- they would be the more some local scenario might make sense but as of now, for today's situation also for the situations and scenarios are being discussed, this is something that we do not see for the United States.
Björn Scheib: So next in the row would be then Jose. And after Jose, then we have Patrick of UBS.
José Asumendi: A couple of questions, please, Oli. Can you talk a little bit more about the powertrain strategy and maybe two elements there. So, one, what is the -- maybe the overall cost that you're planning to take to strategically redirect the company a bit more into combustion engine and rebalance a little bit more the powertrain. And you mentioned two important vehicles yesterday, the electric. And today, this SVPs that you're looking to bring to the market, how quickly are you able to react and bring these vehicles back to the market, clearly, very exciting products, but the timing of them is critical. And second, Jochen, I would like to understand a bit better the robustness of the margin guidance. There's a couple of things going on. We've got a bit of a weak start of the year. Deliveries in Europe are down you've got the EUR800 million strategic charge for the powertrain. And it looks like the second half will be stronger in the first half. Can you help us understand a little bit better the seasonality and the robustness of the margin guidance, how should we think about it? Should we be more a little bit of the bottom end of the 10% to 12% margin guidance? And is this EUR800 million charge included in the margin guidance?
Oliver Blume: Yes. Thank you, Jose. May I start with your first question in terms of powertrain? Very clearly, we will continue to offer our mix. And our planning years before already was to offer all our segments, combustion engines, hybrids and fully electric cars. Now we are closely to the point to do so. And now we are expanding so 80%, 90% of our strategy, I think was already fitting and now is adaption to force an even more the combustion engines and hybrids being able to drive them deep into the stories. And therefore, on the one hand side, the investments in the 911 was a very high margin, the models I announced before. And we will do a very clever investment in terms of our existing platforms for the Cayenne and Panamera as a combustion engine and hybrid. And so the adoptions are not too heavy in terms of drivetrains. What we will do additionally keeping them fresh for the 30s is also a software investment. And that we can combine with a product update at the end of the decade. Then to the new product we announced a car in the SUV segment, touching the Macan segment but being, we have an ambitious engineering timing there, aiming for around 36 months for developing such a car seems to be realistic. Also adapting methods, we have learned in China to speeding up, and that has also an impact on the investment we have to do as shorter as you are able to develop, reducing your engineering costs. And in terms of timing for the electrician, we are very further advanced with the product. As I mentioned, I'm driving the product regular and are under pre-series and very soon, we are able to bring this car to the market and then joined by the electric cars in the 718 segment. It's about timing we are expecting. But everything, what we have put in our new product strategy is foreseen for the second half this ticket.
Jochen Breckner: And then, Jose, I take your second question on the guidance for 2025 with a 10% to 12% return on sales. And you were asking how strongly we believe in reaching this target given the headwinds we were discussing and giving a slower start into this year with Q1 and a short and crisp answer would be, of course, we strongly believe in the 10% to 12%. Our internal projections are sitting well within that corridor. And if tariff scenario hits us severely. We really have everything set up in terms of our cost programs in terms of our targets in the market that we will reach items. Although you're right, Q1 is a bit muted. Q1 is muted because of the seasonality that is quite usual for Porsche. We've seen that in other years as well. And then you have the product changeover issues, you have supply chain issues. So there are some effects there. And last but not least, EUR 0.8 billion that will put some pressure on our P&L and cash in 2025, of course, are partly posted in Q1. So, we will see first of these burdens also in the first month. So, we are not concerned today on reaching the 10% to 12% as outlined today.
Björn Scheib: And the next one then is Patrick. And after Patrick, we have Stephen from Bernstein.
Patrick Hummel: My first question relates to the outlook beyond 2025. And precisely, I'm looking at this Page 74 in your deck, where you have a curve showing the operating profit trend. And I'm wondering, 2026 seems like you expect a sequential improvement. And I wonder if you can just elaborate a little bit more on that. What I see for 2026 is you mentioned the new EVs Cayenne, the 718, that's probably dilutive investment is going up year-over-year. That's what the chart thereafter, Page 25 shows D&A is probably going to go up. So, what's really driving the better margin in 2026? Is it the cost savings, the head count reductions or anything else we should have in mind. And then on that midterm guide 2028 and beyond. So, if it's not volume driven, that recovery in margin by 500 basis points, if I take the mid point, EUR2 billion have to be delivered bottom line impact from pricing and costs. And I'm just wondering if you can share a little bit more of that cost contribution, the head count reduction program. We've seen the numbers in terms of people that you want to reduce over time, but it's a five year period, and it would be extremely helpful to understand what over the next, say, three years, you expect as a bottom line impact from these cost programs, especially on the head count?
Jochen Breckner: Patrick, let me start with your first part of the question, looking at 2026. And yes, you're right, we've drawn that schematic chart the way as you've elaborated on it that we think and believe that in 2026, we will see a better profitability than in 2025. But please understand that we do not mention concrete values here with a specific guidance for 2025, and we have the midterm ambition and orientation as well as the long-term targets. But to give you some color on 2026, of course, we have a two points pressure on 2025 with EUR0.8 billion that we need to post this year to start the rescaling and recalibration in terms of organization as well as strategy, which are not expenses that we expect to such an amount also in the following year. So that will helped to improve in 2026. Also with additional models that we just communicated this morning in the 911 area and with the full availability of models in that specific and for us, very important moderline will give us some tailwinds in terms of mix and therefore also margin. On top of that, and that's also an answer to your second part of the question, looking at the midterm, we see that we still have a potential in terms of ASP, in terms of pricing and mix in terms of individualization, our exclusive manufacturer products and the demand that we can satisfy there. So, these are elements and building blocks that will help us on our way to the end of this decade. Of course, cost work is hygiene work. And as I said earlier, we have to focus on that one and there is no single cost item that we will not scrutinize to the biggest extent we can. On fixed costs, on product costs, production and material costs, but also on personnel costs. Talking about personnel costs, that was also something you were asking. We are the first package we done with our workforce, colleagues and the unions, which helps us to deliver on 2025 which first measures that are implemented and we agreed that we will have additional discussions in the second half of this year, where we will agree and before that negotiate and then hopefully agree additional measures in terms of changing the structure towards efficiency and effectiveness. So that's something that will also give us some positive effects counteracting the headwinds that we see. Haven't talked about this latter issue, I need to ask for your understanding that we cannot give you details on that one at this very modern time because that's something that we really need to negotiate internally agree internally and have done that one. Of course, we will communicate it also to you so that we have an even more precise understanding of what we are doing there.
Björn Scheib: Then the next in a row would be Stephen of Bernstein. And after Stephen, we've got Michael of HSBC.
Stephen Reitman: It's really about management and governance at P911, please. A year ago when we were discussing the 2023 results, given the outlook for 2024, I think you were indicating that 2024 was a transitional year. the guidance was taking down 15% to 17%, but it was pretty but you are confident that we're going to see 17% to 19% return to normal in 2025. Now obviously, you pointed out the things that have needed to change and obviously, the EUR 800 million but if I look at the sort of aspects of still visible already back in a year ago, China was already in freefall. Electrification question were very much for with the take on obviously having a poor reception in recent times. And so indications of the electrification demand was anything like as strong as was hoped. And so I'm just wondering -- when we -- we're looking at the guidance going forward, I mean, do you think that you need to spend more time at P911. The structure of having basically seems to be a part-time CEO with obviously a very full packet you have to do at Volkswagen. And now you can also have 2 new board members at P911 indicate it's going to be even more change as well. How do you see the situation, please?
Oliver Blume: Yes, a very fair, fair question. And first of all, my intention is to do both jobs 100%, and it's up to my organization to do so. And as you know, from the beginning on, it was carefully thought to do both jobs at the same time. But the double role is not designed forever being very clear here. And I will do it as long as we have some big issues to solve. I hope we were able to show you yesterday how the restructuring in Volkswagen Group is advancing. And this was only possible, it was a double role with the power of the double role and the independency. For example, only the agreements we have taken at the end of last year, they were historical. They have never happened in the past and only with a double role it was possible to bring this change into -- in the Volkswagen Group beside of all the technical and strategic decisions we've shown yesterday. For Porsche, the double role still has got big advantages when you look to all the political discussions, I combine both roles with my Volkswagen role, I'm possible to talk to the highest authorities in China to the U.S. when it comes to tariffs and other agreements. I put Porsche into this negotiations only with the partial role, I would have never been able to get at this level to talk to them. They are a completely different and when you see the software agreements we have taken with Rivian, where Porsche now plays a big part into this benefiting from a future-based one architecture that was possible with my double role. Then all the plant activities we are doing. Volkswagen is in a great restructuring process. And especially want to use the plants with low cost structure, for themselves. And with this double role, I'm able to secure that Cayenne keeps on running in Bratislava, for example and now ramping up the new management team with our generation change I mentioned before, I think that it's also important for my role. And very clear, it's not forever. I take the decision some time when we will open this is double role, and I will focus on one of the two jobs. But now we have still some huge topics to solve where the double role is very helpful. And thanks for your question and being very, very clear here. And that was only one sentence more. I was asked from the media that something with the situation Porsche has to do with a double role. And they have been very clear Porsche is affected by the market situation in China with a beframp-up and the consequences for the supplier. And I don't think that with also double role, the situation in China and especially the ramp up would have been different. And so, I think up to now, it works quite well. It's my organization. And in a certain time, I will decide to leave one of the jobs.
Björn Scheib: And the next now would be Mike of HSBC and then thereafter, we have a host of Bank of America.
Michael Tyndall: Just a couple for me. I wonder if we could just go through the EUR 800 million, just to try and isolate what is one-off and what is ongoing. So the EUR 300 million for products and [indiscernible] I'm going to assume that continues on because those products are going to be developed continued forward, whereas the amount for batteries, am I right in thinking Salesforce and V4Smart are loss-making businesses so in theory, that continues on. So really, it's the final piece, the EUR300 million related to corporate restructuring that's unlikely to continue again in '26? And then the second question, a really quick one. You say in the press release, increased competition in China. I'm just wondering who that is. Are you talking about locals? Are you talking about foreigners? I mean I guess on most people's minds, Xiaomi is more of a copycat than a competitor, but I'm curious to know who you see as the competition in China?
Oliver Blume: Jochen, you can take the first one and I will take the second one.
Jochen Breckner: Yes. Yes. Mike, thanks for the questions. So looking at the EUR 800 million that will affect our 2025 profitability we outlined that we see 3 effects there. And we have EUR 300 million for products, exclusive and software. We have another EUR 300 million for the organizational structure, and we have EUR 200 million for the battery businesses with Salesforce Group and V4Smart. And you're right, not all of these are one-off expenses, but a huge part of these are one-off expenses. What we will see is that in our business with the development of software and products, of course, this will take some time to have the changeover in the product portfolio. So we will see elevated R&D and CapEx expenditures also in the next few years before midterm, we will see a decline on that part of the strategic capital allocation. We are well convinced that these investments are well thought and for the good sake of the company because this will give us the profitability and resilience than in the midterm to achieve the 15% to 17%. Now with the battery business, of course, Salesforce Group and also V4Smart are young companies that are being ramped up. And you're right, they are not profitable as of now. So that's the special effect that we see there but over time, we're scaling and with potentially also other customers when we talk about V4Smart and you know that was the reason why we changed the name from V4Drive to V4Smart, and we want to target other businesses there. losses will be reduced in our plans and the profitability should also kick in, in these companies. And last but not least, the EUR300 million on the rescaling of the workforce and the organization that's really more or less a one-off expense that we need to post to finance the programs which helps us to make the, say, demographic leaving of the workforce of the company a bit faster than it would have been. So, the special programs we announced need to be financed, and those will be posted as a one-off expense in 2025.
Oliver Blume: And then I will take over the China topic. And when we talk about competition in China, we don't talk about other car manufacturers. It's more about talking about the innovation dynamic and speed in China. And this moves the expectations of the customers, especially when it comes to in-car intelligence. And that's also an aspect for our products in China, what has moved us to partnerships in China and also to improve our software offerings for our Chinese customers, also in our combustion engine and hybrid segment. There was a need to join the market. And I think that's obvious. We have taken the decision. We will come with solutions during this year. Also, for example, for voice recognition, where the expectation in China is completely different. They are very, very intelligent systems in the market, and that was more an opportunity for us to improve our product and then making in some aspects, also carry over to the rest of the world product. Talking about other car manufacturers, there are no China competitor. There are some where customers move in the SUV segment to auto. But there -- that's an expectation in terms of roominess in the car and screens for watching videos, and that's a completely different use when you compare it, for example, with the -- Cayenne. The customers. who love the sportiness, the driving dynamics of Porsche, stick to the brand, and we still have some. Our market development is more driven by the financial crisis, real estate crisis we do have and many of our customers are affected. Talking about Xiaomi, they are making records, for example, on racetracks. But these are prototypes, not serial cars. And so we are very relaxed on this. They have done a good work without a doubt, copied elements from Porsche from 911 put it into the car, offering the car to a lower price segment, but that's not a competition for Porsche. And even not what they are doing on the race tracks because you can't compare the cars they're using there with our record cars we offer in serial production.
Björn Scheib: The next in the row would be Horst of Bank of America and thereafter, we have Henning of Barclays.
Horst Schneider: The first question is on the top line outlook. So, you are guiding for flat to slight decline of revenues in 2025 would be great if you could give us some feeling what is coming basically from it decline? And to what extent that gets compensated by an increase of the ASP and in that context, basically, if you could provide some color on the unit sales expectations by region. I understood that China is going to be down, but what are the other regions doing? And then also if you can give us any visibility on your current order book and where you stand there? And to what extent 2025 is already covered in terms of order intake?
Jochen Breckner: Yes. Horst, you're right, the EUR39 billion to EUR40 billion as the net turnover guidance is slightly below 2024. So, there is some headwind there. And if you want to break it up where the effects come from. First and foremost, we really say and estimate that sales volumes will be lower in 2025 than in 2024, and that is mainly due to the effect in China, demand there and also the slower-than-expected BEF transition that we see. We follow really strictly our value over volume strategy. So therefore, we are not pushing volume. We try to defend margin. And therefore, we expect and we accept volume decline in 2025 in our estimates. As a countermeasure and a counter building block, we assume increased pricing with the model year changes in the mid of the year, we will increase prices in most regions and most models. And I talk about most regions in China. We have another competitive environment there and almost deflationary environment. So that's a different game that we have to play there. But in the other regions, price increases are planned and also mix effects that will help us to reach the margin guidance we've given to you will be there, especially when we look at the 911, we expect a bit more 911 and within the 911 model range, a better mix with the GTS being with a better availability in our product program. So, these are, I think, the most important parts. You were asking about the regional breakdown of sales as for 2025. That's something that we would not disclose at this point in time. I commented a bit on China. So, we expect a decline in China. We expect a decline worldwide Other regions have a very help mount, and that is maybe the last comment on the order book and order intake you were asking about order book is on a very robust and healthy level. It's on the level we had before the COVID pandemic. After that, we had a really excessive order bank with supply shortages that put us in a situation that we could not supply the excess demand that we had and build up. So that's normalized, but the order book is sitting, as I said, on a robust and healthy level, and this is the basis for our sales forecast for 2025.
Horst Schneider: Quick follow-up to that. I mean the two will be work with usually than on the sales is, for example, if you look at the S&P forecast. S&P is forecasting minus 10% unit sales for 2025. That looks to me a little bit harsh. Could you confirm that? And number two, on the sales deflation that we see at the moment in the U.S., you see already any signs of weakness in the order intake or that's not the case?
Jochen Breckner: Yes. 10% is definitely a high number, and we would expect that we will see a decline that is not as high as 10% but we do not want to disclose a concrete number at this point in time. So -- but effect should be a bit lower when it comes to customer deliveries. Second question, demand in the United States is at a very healthy at a great level so that's a region that really helps us in filling our targets that we have. So as of now, we do not see pressure in the United States. Hopefully, that stays the way that will depend on tariff scenario if that comes into place or not and whether that forces us to increase prices even more or not.
Björn Scheib: Okay, taking a look at the clock, we are getting closer to half of the hour. So, the next one then would be Henning. And then we also try to get Philippe on board. So, gentlemen, please try to make your questions short.
Henning Cosman: Maybe I can just try a couple of clarifications. I'm not quite sure what to take away now in terms of the improvement in margin for 2026. When you initially said the EUR800 million would be more special effect. It now sounds like you might not be able to improve the margin versus the normalized underlying excluding the EUR 800 million. So, I just want to -- maybe without asking for specific guidance, but just trying to understand how much room there is. Can you overcompensate these 200 points or not? And for Q1, when you say soft Q1, could it be outside the 10% to 12%? Or do you mean more bottom of the 10% to 12%? And then second question is on the 250,000 unit cost structure versus all these comments on around 300,000 units target level, excuse my ignorance there, but if you could just explain to us again how you can have a 250,000 cost structure organization while continuing to aim for 300,000. If you could just reconcile that a bit for us.
Jochen Breckner: Okay. So yes, thanks for the question on 2026. I explained it just a couple of minutes ago over, and I need to ask for your understanding there. We were not mentioning concrete numbers for 2026. We have the specific guidance for this year. of course, we have internal planning and expectations for 2026, but we can't give you a number at this point in time. We will see that can be added in 2026, profitability above 2025. That's our clear goal but you were mentioning the EUR 800 million that you have as a special item. And some of these, I mentioned that also explained it will be one-offs and others will be maintaining the strategic capital allocation in R&D so that these effects -- some of them will be maintained. Q1 muted start, yes, the sure seasonality is normal. I also mentioned that one and we have a robust planning that the 10% to 12% will be achieved. And also need to ask for your understanding on that one. our internal planning sit well within that range, but I can't give you a concrete number. So that's way too early to guide even more specifically on that one. So that would be short and Chris, hopefully, additional comments on the first question, then Oli, over to you for the 250,000 and 300,000 question.
Oliver Blume: Henning, it's very simple. Our intention is to trace the breakeven level. And the idea there is being profitable, if we would only sell 250,000 units with today's pricing level and achieving the profit margin we have had over decades around 15% and being profitable with this. realistically, going more with our product planning to 300,000. If we would reduce it with higher pricing and so on, that would be fine but that is paying into a better margin. And what we are doing for this structure and this is our working title to 250,000 is touching all cost levels from engineering costs, fixed costs, sales cost and so on. Then the employee structure then our -- we can buy structure in between the company and giving the company more robustness, more flexibility. And what I said before, decreasing breakeven level. And being profitable if we would only sell to 150,000. But from the product planning, it's not realistic, it's more going to 300,000 and we will adapt carefully in terms of pricing and if it's lower, that's fine for us.
Björn Scheib: So, the last now in the row would be Philippe of Jefferies.
Philippe Houchois: My question is really on -- I'm curious about the thought process, the decision not to reinvest in Macan in Europe into an ice version or plug-in hybrid version and the fact you'll continue to sell that car in the rest of the world. It's a beautiful car. Nevertheless, [indiscernible] car. How do you expect to maintain interest in the Macan outside of Europe with a car or powertrain that is relatively aging compared to what we see in some of the competitors? And then the second follow-up question, if I can. Is at one point, you think there will be a revenue influence in Porsche. You told us yesterday 2027 for the IT1. I'm just curious about the time frame for Porsche.
Oliver Blume: Okay. For the Macan, we have taken the decision already in 2016 to focus only on electric one for the future. And in these times, the ramp-up for electromobility was more optimistic. And so, we think there is room for another SUV in this segment. We will make a big differentiation from the electric one, we still have the combustion engine out of Europe and the other regions of the world. And so, this will be a very special one, but more focus then for the end of the decade and the 30s for having their not only for Europe but also for the rest of the world, when we will stop the combustion and Macan also for the rest of the world regions. And so, we see the timing correctly adapted to the timing of combustion engine can run out of Europe and the ramp-up of the electric Macan in all regions of the world. And we think that this car will fit perfect to the segment, when we will be able to make a big differentiation in between both cars and being able to bring a real future vision Porsche to the road and the first concepts and designs are very promising. Yes, IDNs, we started much before the idea of the new SUV in Porsche and the timing is around about the same. We are adapting for the and for the new SUV we are considering. And there, our company in Global has also learned a lot the processes in China, the engineering speed we are doing there, and that's for the first time in history in both companies having an engineering plan of 36 months.
Björn Scheib: So, with this, I just hear that we got one remaining, and this one would be then from Harald, who obviously had some technicality issues and obviously dropped off. If the back office could just show me the question because, obviously, we had here a technical issue. Harald's question to this degree, have been having had to deal with 2 large unexpected changes in your long-term outlook with lower China and slower BEF demand. Are you now doing enough to return margins to 15% plus? And can you please maybe provide a strategic bridge of buckets of improvement that you're planning that you could provide confidence for investors that partial return on sales can return to a more reasonable level and planning time line for such?
Jochen Breckner: Okay. So that's a question from Harald. I think he's not in the line, but also still I'm happy to answer the question. Looking at the midterm ambition, 15% to 17%. We have two major or maybe three major headwinds issues and items that we face, that's demand in China. That's a slower path transition and there are constraints and cost pressure in the supply chain. We mitigate and answer these challenges with a changed product strategy and updated product strategy with new products coming at very healthy margins. We will have the exclusive manufacturer and the Sonderwunsch program, which will also give us additional profitability from these very desirable products from our brand. And third, our Road to 20 program will be refocused especially on the cost side, also on the sales and pricing side, but especially on the cost side, where we will heavily work on fixed costs on material costs, on production costs to increase margin as good as we can. And given these effects in the scenario without additional tariffs, we are quite confident that an ambition level of 15% to 17% is something that can be reached midterm. And doing so and adapting what we are planning. We also can rely on the product portfolio we have today with all the new products. And repeating this once again that the youngest and best product portfolio in the history of Porsche and this one will help us to ramp up very quickly. We need these expenditures in short time to make us even more flexible and coming from both sides, from the existing products and then with the new products and the cost and recalibration we are doing. We are very clear, bringing Porsche quickly back to 15% plus.
Björn Scheib: Oli, Jochen, thank you very much for taking the time today. Thank you very much to all of you joining us either via telephone or via the Internet. It was our pleasure to serve all your questions. If anything still remains open, please reach out to Investor Relations. We are very happy to assist to all of you who are going to see us on the upcoming global roadshow, we look forward to see you, fulfill then open questions if anything should remain open. Stay healthy, and we very much look forward to see you soon. Thank you and bye-bye.
Oliver Blume: Thank you very much. Bye-bye.